Operator: Good day, ladies and gentlemen, and welcome to Arrow Electronics, Inc. First Quarter 2015 Earnings Conference Call. My name is Ian and I will be your operator for today. [Operator Instructions]. As a reminder this call is being recorded for replay purposes. I would like to turn the call over to Mr. Steve O'Brien, Director of Investor Relations. Please go ahead, sir.
Steven J O'Brien: Thanks, Ian. Good day and welcome to Arrow Electronics first quarter 2015 conference call. I'll be serving as moderator on today's call. With us on the call today are Mike Long, Chairman, President and Chief Executive Officer; Paul Reilly, Executive Vice President, Finance and Operations and Chief Financial Officer; Andy Bryant, Chief Operating Officer, Global Components and Global Enterprise Computing Solutions; Eric Schuck, President, Global Components; and Sean Kerins, President, Global Enterprise Computing Solutions. As a reminder you can access our earnings release at www.arrow.com/investor, along with the CFO commentary the non-GAAP earnings reconciliation for the first quarter and a webcast of this call. We will begin with a few minutes of prepared remarks which will then be followed by a question-and-answer period. I will now hand the call to our Chairman, President and CEO, Mike Long.
Michael J. Long: Thank you Steve, thanks to all of you for taking the time to join us today. In the first quarter we delivered good results. We executed well on our strategic initiatives and we continue to deliver best-in-class financial performance and we returned substantial capital to our shareholders through our buyback program. We believe it may be helpful to put our first quarter results in perspective by reviewing our long term financial objectives. Our objective is to grow sales faster than the market, increase our markets served, grow profits faster than sales and increase return on invested capital. With respect to sales growing faster than the market in the first quarter we delivered 5% overall sales growth on a constant currency basis. Our growth was led by our European components businesses, which grow a robust 13% on a constant currency basis, marking the eight consecutive quarter of year-over-year growth. Great execution by our team and our investments in sales resources and our ERP system have been driving our performance in this region. Both our Americas and Europe Enterprise computing solutions businesses delivered strong growth with the segment as a whole growing 9% on a constant currency basis. In the first quarter our enterprise computing solutions business experienced balanced growth across the portfolio. In enterprise computing solutions we continue to sell comprehensive solutions to the higher value segment targeted at the datacenter. Our business is well positioned to help our customers and their organizations and our suppliers to achieve their objectives. We are enabling our customers to select optimal and secured solutions for running their business critical applications, whether those solutions reside in their own datacenters, in the cloud or some hybrid combination. In terms of increasing the markets we serve in global components we continue to advance our opportunities from the Internet of things and design services. In enterprise computing solutions beyond our security and data analytics efforts we are increasing our capabilities in the next generation storage and convert solutions. We also continue to broaden our cloud-based compute storage and security offerings on our WebSphere online marketplace. Additionally we have been increasing our market scope in 2015 with our acquisition activity. Once again we delivered leverage on the sales growth. During the first quarter adjusting for currency fluctuations we grew operating income 9% year-over-year compared to a 5% sales growth. We captured a 7% operating margin on our incremental sales growth and we also expanded our global components operating margin for the seventh straight quarters on a year-over-year basis and expanded our enterprise computing solutions operating margin for the ninth time in the last 10 quarters. Last but not least for the six consecutive quarter we again increased our return on invested capital compared to the prior year. On the topic of currency let me take a moment to discuss how we operate our business to ensure consistent returns to our shareholders and minimize risks from what has been an unprecedented currency environment over the last nine months. We have received two reoccurring questions. The first question, will Arrow’s operating margins be compressed by strengthening dollar relative to the euro? As we demonstrated again this quarter our operating margins continue to expand in the face of currency headwinds. In the first quarter components delivered a 5.1% operating margin and enterprise computing delivered 4.4% operating margin with both increasing 20 basis points over the prior year first quarter. Importantly our components margins were up in the Americas and in Europe and were flat in Asia. One of our key efforts has been to align our purchases and sales so they are transacted in the same currency. The second common question is, will the decreased purchasing power of the euro result in lower demand from the region? Our answer is we haven’t seen it. Our healthy growth rates for both our European components and our Europe ECS business reflect our strong execution but also improving underlying demand. As we continue on for 2015 we see no meaningful improvement in the economic backdrop or the markets we serve. But as we proved once again for the first quarter we are able to produce strong results independent of the market environment and we look forward to continuing this for the remainder of the year. Paul will now provide more details on our first quarter results and our expectations for the second quarter.
Paul J. Reilly : Thanks Mike. First quarter sales of $5 billion were within our consolidated guidance range with ECS inline and components at a lower end of the respective ranges. Sales grew 5% year-over-year adjusted for changes in currencies, declining 2% year-over-year as reported. In global component sales we had $3.35 billion, which grew 3% year-over-year, adjusted for changes in foreign currencies and decreased 2% year-over-year as reported. We had one fewer shipping day in the first quarter of 2015 which negatively impacted our year-over-year growth rates by an estimated 150 basis points. In the Americas our sales were flat year-over-year. Americas core sales were down 9% sequentially near the low end of traditional seasonality. Our first quarter performance in the Americas was affected by the continued lackluster economic environment with first quarter GDP growth of just 20 basis points. In Europe sales in constant currencies increased significantly, advancing 13% year-over-year the second quarter in a row of double digit growth. We experienced trends across the continent. Sequentially core sales in Europe grew 14% quarter-over-quarter in constant currencies which is towards the high end of normal seasonality. Sales in Asia were flat year-over-year. Core sales in Asia grew 6% year-over-year and declined 9% quarter-over-quarter towards the lower end of traditional seasonality, but inline with our expectations. We exited a high volume supply chain engagement in Asia last year and it’s negatively impacted our year-over-year growth rate in the first quarter, and we will have a larger negative impact on our year-over-year growth rates in the second and third quarters. Total first quarter book to bill was 1.02 and the overall market remains stable with lead times and cancellation rates operating in normal ranges. Sales at our enterprise computing solutions business was $1.66 billion. In the Americas sales grew 8% year-over-year were down 41% sequentially, inline with our expectations following our strong fourth quarter. In Europe sales in constant currencies advanced 8% year-over-year. Sequentially sales on a constant currency basis declined 34% which is better than normal sequential decline compared to our traditional seasonality. The evolving and growing requirements on datacenters, our strong execution and our solution selling efforts all drove the strong ECS revenue growth. Our consolidated gross profit margin was 13.7%. Year-over-year gross margins declined 10 basis points due to a higher contribution from ECS America within our results. On a sequential basis gross margins improved 90 basis points due to the normal seasonally higher contribution from our components business. Total operating expenses declined 5% year-over-year, but grew 1% year-over-year adjusted for the impact of acquisitions and changes in foreign currency. Operating expenses were 30 basis points lower as a percentage of sales driven by our operating leverage and efficiency initiatives. Operating income was $205 million, a 9% year-over-year increase adjusting for currency. Operating margins advanced year-over-year as well increasing by 10 basis points to 4.1% the highest first quarter level since 2012. Global component operating margin of 5.1% increased 20 basis points year-over-year. Global enterprise computing solutions operating margin was 4.4%, also up 20 basis points year-over-year. Our effective tax rate for the quarter was 27% and net income was $128 million, up 12% year-over-year on a constant currency basis. Earnings per share were $1.32 on a diluted basis, diluting earnings per share advanced 8% year-over-year and grew 17% year-over-year on a constant currency basis. Cash flow from operations was a negative $242 million. You may recall that in the fourth quarter of 2014 we estimated that our cash flow from operations was $115 million better than we had expected due to checks in transit of sizable customer prepayment and that it would reverse in Q1 2015. Adjusting for that our pro forma cash flow in Q1 2015 was a negative $92 million. Our negative cash flow in the quarter was the result of selective investments we made in inventory around the world to support an increase in shipping days in the second quarter when compared to the first quarter. For clarity purposes we will have 64 shipping days in the second quarter of 2015 versus 61 days in the first quarter of 2015. Return on working capital for the first quarter was 23%, return on invested capital was 9.8% up year-over-year for the six straight quarter and significantly outpacing our long term 8% weighted average cost of capital. We repurchase $64 million of our stock in the first quarter and approximately $279 million over the last 12 months. Authorization remaining under our existing share repurchase program is $197 million. This is a high level summary of our financial results. For more detail regarding the business unit results please refer to the CFO commentary published this morning. Now turning to guidance. We believe that total sales will be between $5.45 billion and $5.85 billion. Global components sales between $3.45 billion and $3.65 billion and global enterprise computing solution sales between $2 billion and $2.2 billion. We expect earnings per share on a diluted basis excluding any charges to be in the range of $1.43 to $1.55. Our guidance assumes the tax rate in the range of 27% to 29%, average diluted shares outstanding are expected to be $97 million and the average U.S. dollar to euro exchange rate for the second quarter to be $1.08 to $1. You are all aware that euro has depreciated substantially relative to the dollar over the past nine months. The U.S. dollar to euro exchange rate we are using for forecasting purposes declined 5% from $1.13 in the first quarter and 21% from the $1.37 in the second quarter of 2014. We calculate this depreciation of the euro has resulted in a 1% negative impact on sales compared to the first quarter and a 6% negative impact on sales compared to the second quarter of 2014. We calculate this depreciation has resulted in a $0.02 negative impact on EPS compared to the first quarter and a $0.12 negative impact on EPS when compared to the second quarter of 2014. We expect our recent acquisition activity to contribute approximately $125 million to sales and being neutral to earnings per share when compared to the first quarter of 2015 and they’ll contribute $200 million in sales and $0.04 to EPS when compared to the second quarter of 2014. Keep in mind that the third quarter is the seasonally strongest quarter for our largest recent acquisition, immixGroup and this differs from our traditional seasonality for enterprise computing solutions business. So no change on our expectations for any of our acquisitions, though the quarterly seasonality is different to our historical seasonality.
Steven J O'Brien: Thank you Paul. Ian could you please open up the call to questions at this time. 
Operator: [Operator Instructions]. We have our first question is from the line of Jim Suva with Citi. Please go ahead Jim you are in the call.
Jim Suva : Thank you. Congratulations on the result and good outlook especially considering FX and all and adjusting it directly head on. I have two questions. First of all in this foreign exchange environment, assuming things stay where they are at, does it make things more appealing for your M&A just because the purchasing power of the dollar versus the euro and other currencies has gotten more favorable or things could be at discounts or with your recent acquisitions, which I believe you have a pretty powerful one immix, still holding in, do you have to guide just that lower [ph]. Then my second question is I heard you mention a 1.08 for FX. Is that what you met for the past quarter just reported or the quarter outlook and the reason why I ask is the currency right now looks like it’s around 1.12. Thank you very much.
Michael J. Long: Thanks Jim. I will address the acquisition piece and then I will turn the currency over to Paul, but you are right we did have some good acquisitions announced and we will be closing, in fact one is closing today. But as you know from history we are digesting these businesses relatively quick. So don’t see immix as slowing down our business in anyway shape or form. And you are right with the currency we should be able to have an advantage when it comes to purchasing something. However you have got to have a willing seller on the other side. So whether or not somebody would be willing to sell in that environment is yet another story and as we typically try to go for good businesses that cover the cost of capital that we require to have the growth aspects, we require and then the new products we require, we will be sticking to our goals for every acquisition and not let the currency really change our approach. Hopefully that covers that for you and we’ll let Paul cover the currency piece.
Paul J. Reilly: Hey, Jim good morning. The 1.13 rate that I quoted was the rate we used in the first quarter as our actual rate. You are right, in the last several days you have seen the euro strengthen a bit. We did use 1.08 in our guidance because that was approximately the rate we saw for month-to-date in April through Monday. So we had to lock down the guidance somehow someway and that looked like the average for the month, so we went with that. Obviously currency changes will continue throughout this quarter that will have potential impact on the translation of our European financial statements for the quarter. 
Jim Suva: Great and then the pending acquisitions immix and ATM are those included in the outlook or since they haven’t closed not yet?
Michael J. Long: In the outlook immix is included, the seasonality is different there as they are principally focused on the Federal marketplace. So we will see stronger than normal seasonality for that business in Q3 and Q4, but it means Q1 and Q2 was different from our normal seasonality. And the other one that we are referring to is not included in the guidance because we weren’t closed on in yet, we preferred only to talk about what we had closed on.
Jim Suva: Thank you very much and congratulations.
Michael J. Long: Thanks Jim.
Operator: Thank you for your question, Jim. We have another question for you. This one is from Brian Alexander, Raymond James. Please go ahead Brian.
Brian Alexander: Okay, a clarification and a question. Just on Paul on the components guidance before June quarter up about 6% sequentially at the midpoint, that’s a bit above seasonal if we normalize for the extra shipping days and for currency, should we view that to be more inline with normal seasonality and is there any variability by region that we should think about?
Paul J. Reilly: Thanks for the question Brian. We see all three regions being inline with normal seasonality. You are absolutely right, there is a lot of moving parts around currency and that type of thing, but we feel good about the position where we are in right now, and we feel that we will see the normal seasonality which is reflective, as Mike referenced the economic backdrop but more importantly our strong execution around investing in sales as well as the impact of the ERP tool.
Brian Alexander: And then my question would just be on acquisitions, could you just remind us the return on capital framework that you used when you are approaching acquisitions, whether it’s an absolute return that you look for or a spread above your cost to capital and whether that’s changed at all in recent years given where interest rates are? I am just curious relative to the $400 million it looks like you are spending on immix and ATM how should we think about the returns on those acquisitions? Thanks.
Michael J. Long: Right, Brian. Thank you for the question also. We haven’t changed the return hurdle, so you may recall that we have said that we want to have a return on invested capital in year one that is in excess of our weighted average cost to capital and we still have that longer term target three years out at 12.5%. So we haven’t changed it, even though we have driven down our weighted average cost of capital. So we haven’t changed to a percentage increase and we just left it as a targeted number at this point in time. So while our weighted average cost to capital is down the hurdle rate still remains at a higher level. 
Brian Alexander: Okay, thank you.
Operator: Thanks for your question Brian. We have another question for you, this one is from the line of Steven Fox at Cross Research. Please go ahead.
Steven Fox: Couple of questions from me. Just on the acquisition. I understand the long term implications of it, but in terms of near term how you are looking at the public sector markets and what immix brings may be add to that growth rate can you just talk about that a little bit and then I have a follow up?
Sean J. Kerins: Yes, sure. Steve, Sean Kerins here. We are pretty optimistic about the immix acquisition. We had a good presence in the Federal marketplace and this alone only give us much more depth and breadth. And if you think about our strategy which has been to continue to move to software-based solutions at the datacenter they really bring a great portfolio in that regard, very consistent with where we are headed and also some very good value from and enable the perspective in that sector. So we think it’s just going to help us for the long term and we think it’s consistent with our strategy.
Steven Fox: And the near term couple of sector markets [indiscernible] you guys given everything is going that’s going on in the world there?
Sean J. Kerins: Yes, they do, they do. We think they were as expected in Q1 and we are more or less on plan in the way that we look at the market both federal and State and local for the balance of the year.
Steven Fox: Okay and then just as a follow-up just looking at the ECS business, obviously 7% organic growth in this environment is good. It’s like Mike you mentioned it revolves around some things you guys are doing to gain share and I wonder if you can just may be elaborate a little bit on that? I mean you mentioned how datacenters are evolving and you are trying to meet some of those requirements. Can you just talk specifically about how you are gaining share versus what doesn’t seem like a very robust market?
Michael J. Long: I think that first thing that we said we were going to do is widen the products that we had, that we were bringing to market and I think Sean and his team have done a very good job of that and I think you will notice that the opening statement where I said we had good balanced sales, which means that customers are now buying more of the complete solution from us than sort of scatter sorting [ph] us with just products and that’s where we wanted to be. We saw really good uptick in servers this quarter. Security software continues to be a real good place for us. We have really kicked up the performance of that over the last couple of years and notably infrastructure software is up, which says that the datacenters are alive and well and still growing and there is a lot of work to be done. We are seeing what I would say good balanced sales, we had storage was up for us and I know that there is a lot of talk about change of the storage and the products but there are still a lot of activity that we see in storage and would expect to continue to move and migrate with the business around storage too. So all-in-all I would have to say that not only in the Americas but we saw the exact same type of balance in Europe and for us it was exactly what we were looking to do. So hopefully that answers your questions.
Steven Fox: Yes, it does. Thank you very much.
Operator: Thank you. We have another question for you, this one is from the line of Matt Sheerin at Stifel. Please go ahead Matt.
Matt Sheerin: Yes, thanks guys. Just a questions regarding the component business, Avnet and others have been talking about selective price increases from suppliers in Europe. Are you seeing that as well and are you seeing any movement from customers part to build the inventory, are you building inventory, it sounds like the inventory build is really related to those extra selling days and the seasonality in the business more than anything else.
Michael J. Long: Yes, Matt thanks. You know in the first quarter I would say that we saw the book-to-bill of about 1.02. So far in this quarter we are seeing 1.12 book-to-bill. So any idea that in the first quarter customers were over ordering for the marketplace we have only seen their ordering increase going into the second quarter. So we don’t believe there is any change of customers order patterns in the first quarter from what we have seen in past history. Billings are up a couple of percent right now, and we are still seeing Europe very strong with billings up 20% over the same type of period. So we are sort of refuting the idea that there is early buying going on and saying we are seeing more consistent buying, which caused us to increase our inventory in the first quarter to take care of the demand that we are seeing end of the second quarter. And yes there are a few extra days and you know at the end of the quarter those days can be pretty substantial. I mean that could be the partial reason for the first quarter and that’s why we are looking at the business right now on kind of a six months basis and then bringing it in by the quarter. So we don’t think there is anything happening here that is going to change the outlook for the first half of the year and right now we are still as bullish on the year as we were when we came into it. 
Matt Sheerin: That’s helpful. And then just back to the acquisition and seasonality that immix acquisition. I know that in your CFO commentary you have your seasonality I think down 4 to down 12 in North America but with the federal business picking up in Q3 shouldn’t that segment look more like a flattish in September?
Paul J. Reilly: Yes, Matt so you are getting the numbers, they are actually correct. The reality is it’s brand new to our portfolio and then we got to factor in also that we have a cut-off at the end of our third quarter that is a couple of days sort of September 30, so that actually what will happen is we will be picking up some of that federal serve [ph] if you will mostly in Q3 but some of it will throw off into Q4.
Matt Sheerin: Okay that’s helpful and just lastly you got other acquisitions closing, including one today, you talked about I think immix is running out at around $600 million revenues run rate, what’s left in terms of acquisition, contribution and revenues seems like it’s still a few 100 million more to come on line, is that right?
Paul J. Reilly: When we talk about it individually right we have one that we did in Germany, but we own 53.7% of it and it is a public company so we have to be very careful in disclosing anything ahead of what they disclose around future performance. So that’s not in our numbers and we probably won’t be putting that in our numbers since we don’t want to run it false of any type of selective disclosure for German public company. So that was not going to be in our guidance in the near term as we go forward and really we prefer not to quantify expectation around that because we don’t, as I said run afoul of the German requirements. And the other one we are talking about one that’s closing at the end of April, we got to look at the seasonality there and factor in only two months versus a full quarter. So I think you are couple of $100 million number might be a little bit too high for us at this point in time.
Matt Sheerin: Okay, yeah, I was just looking for a sort of annual contribution number [ph] this year, but that’s helpful. Okay, thanks a lot.
Operator: Thank you Matt. We have another question for you. This one is from Sherri Scribner at Deutsche Bank. Please go ahead.
Sherri Scribner: Hi, thanks. You guys have done a great job in improving the margins over the past couple of quarters. I wanted to get a sense of how much more margin expansion you think you have, what is the additional opportunity to reduce your cost and potentially move the margins higher? Thanks.
Michael J. Long: Thanks Sherri. We actually believe that there is still room in the margin although we think it’s important to first show a sustainability of where the margins are in components over a period of time here. So you will see some fluctuations up and down in those margins as we stabilize those businesses. In the computer group as we see more software sales and more services sales become a bigger piece of the portfolio we would expect to see the margins there continue to grow right along with the change and mix as that occurs over the next few years. And the good news of that is we are sitting and looking at two businesses that are far from mature and far from just being, what I would say something that has historically been a lower operating income business. We are producing more for the customers, which means they are paying us more. We are doing more design wins with the customer. There is more web activity with the customers and we expect that to continue. While I don’t have a number for you now I would say as we go into the second half of the year we want to get through the currency fluctuations that we are seeing now and really see how the business acts in a stable environment. Because if you look at what components has done with the currency fluctuations on top of sort of a market that hasn’t been usually robust I would say that’s pretty good right now.
Sherri Scribner: Okay that’s helpful. And then just following up on ECS, with the shift in more software and services. Also may be if you give us some detail on what going on with your cloud initiatives and how that impacts the margins I know that you guys have been shifting to software and services, but you have also talked about cloud in the past? Thanks.
Michael J. Long: Sean, you want to?
Sean J. Kerins: Yes, sure, hi Sherri. So we continue to invest in the cloud transition. We believe it’s one that’s playing out overtime not overnight. Our [indiscernible] platform where we do a lot of the provisioning and the billing and the enablement of the sales channel to offerings, we now represent well over 100 different as-a-service offerings with some 50 odd different suppliers. So we are there for the channel as the channel continues to move down that path. Our run rates each quarter continue to improve with that segment of business – Q1 I would say that it’s going to be a long transition it’s one that will play out in any given quarter.
Sherri Scribner: Thank you.
Operator: Thank you Sherri. We have another question for you. This was from Will Stein at SunTrust. Please go ahead Will.
William Stein: Hi, thanks for taking my question. I am hoping you can help us understand approximately what portion of the components sales in Europe would be to brokers or EMS companies as opposed to OEMs?
Michael J. Long: Brokers would be hugely small. That’s not a target for us. The biggest pieces we have in terms of our vertical markets would be, or the biggest growth areas would be lighting, automotive and we have seen pretty good growth in aerospace and defense in Europe. As far as what percent we have for EMS companies in Europe, right now I don’t have in front me. So, I will have to get back to you after the call.
William Stein: Okay, thank you. May be I can also touch on inventory days, I know you addressed this in your prepared remarks, it sounds like preparing for one extra shipping day but by my calculation it looks like inventory days picked up almost double what they typically do in the quarter, by my math about 9.5 days in last five years, you have averaged about 4.5 in this calendar quarter. So I am wondering if there is something else that went on there from a mix perspective or may be currency is affecting it or something else?
Michael J. Long: Well, there are -- a little bit of that would be the investments we made in the past in the electromechanical market, because we are seeing deeper and wider penetration by our businesses there. So we have made a decision to go ahead and support the sales that we are seeing as well as support the opportunities that are coming in and that may account for a day or two of that. I don’t know Paul if you have anything else to add?
Paul J. Reilly: Thanks Mike. Well if you are doing it on a consolidated basis, consolidated revenue keep in mind that the transition to some of our service agreements needs yes kind of underscores our real revenue growth right because that’s on that billing basis. So we are seeing that become a bigger percentage of the mix, when I look at it. So I think that’s may be something we just got to keep track of and as Mike mentioned around – electromechanical that’s a product when it turns about 4 times a year we are investing more in that versus the semi space which turns 6 to 7 times a year. So I think there is a couple of little factors, just not one big driver or one big region with the exception of may be Europe because we had two quarters in a row with double digit year-over-year revenue growth where maybe everybody is holding a little bit more inventory to support ongoing great performance by team there.
William Stein: If I can sneak in one more please, Mike you mentioned a minute ago lighting, automotive and aerospace, I think you said those were strong points in Europe, the areas that semi companies have noted have been weak, perhaps obvious at this point PCs and comp infrastructure I would suspect your growth to be little if any exposure to either of those market on the component side, can you?
Michael J. Long: Yeah a lot less exposure than what we just suggested. You know we are still on the medical market team, industrial market and things like that but the PC market is very light exposure for us, the cellphone market is very light exposure to us. And that’s why you see the manufacturers mainly talk about those directly, unless it’s some big low margin supply chain activity that somebody has taken in and doing for that customer, but for the most part that’s not where we play.
William Stein: Great, thank you.
Operator: Thank you, Will. We have another question for you. This one is from Shawn Harrison at Longbow Research. Please go ahead Shawn.
Shawn Harrison: Hi, good afternoon, I guess good morning for you guys. Clarification first, did you provide the revenue expectation on annualized basis for immix and if so what is it?
Paul J. Reilly: We haven’t provided it, but it’s a round number of $700 million.
Shawn Harrison: And then second SG&A I guess was down more than what you would have done at dollar basis to be seasonal this quarter, what should we expect SG&A to grow into the June quarter on an organic basis and then how much comes over from the acquisitions?
Michael J. Long: What I would say what we only see is the variable cost of about 2% for the incremental sales volumes. So it’s one thing to keep in mind as we go forward around the quarter and if you just give me one moment I will see if I have the actual number for immix. I mean I don’t have it with me, may have to come back to you. Okay Immix would be for the quarter around let’s call it between $10 million to $12 million.
Shawn Harrison: And then last question if I may, just the acquisition that’s closing today, is the seasonality on that business in Asia different than anything that you normally experience in that business being very back half weighted?
Paul J. Reilly: Yeah it’s little bit same seasonality to Taiwanese companies but that really doesn’t have that much of a difference from what we are seeing in rest of the region.
Shawn Harrison: Okay, thank you very much.
Operator: Thank you Shawn. And we have another question for you, is from Ananda Baruah from Brean Capital. Please go ahead.
Ananda Baruah: Hi guys. Thanks for taking the question. Just a quick one from me. With regards to the ECS the growth there has been pretty solid on a constant currency basis and your kind of refurbishing the portfolio, the product areas that are growing as well as adding line card. So I guess my question is how do you guys ultimately think about what the growth profile of ECS can be and it seems to be pretty consistent across both geographies. But the constant currency growth profile can be given that you are sort of improving the mix and adding line cards sort of simultaneously. And then actually just a follow up to that is how much of the growth we see now is really line card at and I guess you probably account that as organic. So does that sort of soften at some point?
Michael J. Long: Well the line card has everything to do with the solutions that we are trying to offer for the customers and where they are evolving to. So as we add more software lines, for example over the last couple of years we added security software, virtualization software and we saw those businesses take off retrospective and to add a fair amount of sales to us and if you remember I guess now its six or seven years ago we were primarily just a server distributor that’s what we did, that’s what we are living on and during that time you saw the sales continue to grow for ECS but what was also happening was the decline in proprietary servers over the same period sometimes in double digit format that we were overcoming with our services software storage business. What you are seeing now is some of the servers have begun to put some life back into the marketplace. We are seeing some refresh which is good. We are seeing an uptick a continued uptick in security software, a virtualization is still running it probably an average of 10% to 12% quarter-in, quarter-out for us and infrastructure software is starting to come out. So that’s been an area that is also bringing some life to us. Probably the next hurdle is going to be what happens in storage overtime and how fast the solid state come in and impact rotating but we are prepared either way we have been guiding this business through those changes. We are seeing more sales in Arrow today than we have ever seen. We are totally prepared for what we would call cloud initiatives whether it is on-premise, off-premise or some sort of hybrid. In general we think we have most of our base is covered right now and if there is anything we are not selling, you think we should be in. 
Ananda Baruah: I like that, okay. Now I get that, I get with regard to the line card item. – what you have done over the last three years and I guess I was thinking more in the context of have you had inside of this bucket new products coming online realtime that service being a tailwind, so as to growth over the last couple of years?
Michael J. Long: It’s interesting what we have seen as some of the newer products come up we have seen some of the older products go down. So we have been in this constant balance but frankly that is the nature of this business and that’s the nature of how it exists and whether you are a manufacturer or distributor or solution provider there are products that are hot that you get in and you start to producing and – level of maturity and once that level of maturity hits you start to go end of the life the new product comes on. And I think that’s probably our ability to anticipate that has helped us with the 7%, 8%, 9%, 10% growth rate that you see for us out of that business and what you are going to see now is probably earnings and the future grow even faster than sales because of software and services and that’s how I think you are going to see the business evolve which actually is impact for anyone.
Ananda Baruah: Got it Mike. That’s perfect and very helpful. Thank you.
Michael J. Long: All right, good.
Operator: Thank you. We have another question from Amitabh Passi from UBS. Please go ahead Amitabh.
Amitabh Passi: Hi, thank you. Mike I guess my first question for you was around the book to bill I think you said 1.12 quarter to date, sounds quite robust and I think you also called that a pretty – uninspiring GDP environment to explain your trends in North America I don’t think GDP is that much better in Europe. So I am just trying to understand where the strength is coming from is 1.12 is that been skewed more by Europe or are you seeing this channel affirming of demand across the globe?
Michael J. Long: Yeah remember how I explained Europe sales before and if you remember several quarters ago we talked about an increase investment in sales people and engineers in Europe coupled with the conversion of our ERP system and those two things combined made it more efficient allowed us to put more cost toward selling and those engineers have brought in more designs which has helped us grow faster in that market. So at this point we do see ourselves growing faster than the European market overall, which is a positive. We are seeing an uptick there. The North America business we started to invest probably little longer than a quarter ago and some engineers and sales people so we would expect that would pick up more towards the second half of the year. But Asia right now has the strong, strong book to bill compared to last year and we have sort of seen it start to come online after the Chinese New Year – late but the truth is I don’t think it’s going to change the overall economy of Asia. I think it’s just an seasonality we are seeing in the backlog starting to build going into the second half of the year. So hopefully that challenge it out, but all in all we are seeing a strong book to bill right now and most of it makes sense to us as we see it.
Amitabh Passi: Interesting and then may be just a quick follow up on your computing solutions segment did you give us a sense of year-over-year growth in your three major categories service, storage and software I didn’t hear if you give us those numbers?
Michael J. Long: I don’t think we published those numbers, - coming out. What we have done is we have given you the mix that will help you right now, because I think we were looking at something like 6% or 5% for the year. The current mix of the business is around 35% software, 30% storage, services 15% and servers are a little less than 15% and networking is more than 5%. 
Paul J. Reilly: We want to give some broad numbers the server market probably combined was 20% plus of year-over-year and software ranged from anywhere from 10% to 20%, - that’s globally year-over-year and as different pockets of strength between North American – and ECS but still pretty robust performance if you look at those types of product sales.
Amitabh Passi: And Paul just final one for you. On the OpEx did you did FX help you this quarter I mean is that part of the sequential decline that we saw from 4Q to 1Q?
Paul J. Reilly: Sure, so you know the FX change or the currency change reduces the sales, reduced the GP, reduces SG&A and reduces corporate income.
Amitabh Passi: Okay, alright, perfect. Okay, thanks.
Operator: Thank you and we have another question for you. This one is from Lou Miscioscia from CLSA. Please go ahead Lou.
Lou Miscioscia: Hey, great, thanks. Just take a little bit deeper I guess when you think, when we look at the storage some of the legacy vendor seems to have slowdown and even negative growth in some of the products so, is most of your storage growth coming from some new startups and more likely either flash or hybrid?
Michael J. Long: At this point I think that Lou is a little bit ahead of itself. Most of the growth today is coming from the existing storage manufacturers, they are still doing well in the mid-market we are still seeing a lot of opportunities and my expectation is you will start to see the other lines that we have start to comp up more towards the second half but I don’t believe it’s going to be this immediate hockey stick, there still has to be acceptance in the marketplace and that’s going to take a little while. So we fully expect our traditional vendors to be pulling the hay wagons for the next couple of quarters.
Lou Miscioscia: Okay, in Europe both you and – had a very nice numbers for IT demand from an organic standpoint is it the impression that the weak Euro is helping start to reignite some of the economies there, but just what’s going on under – was that they held up for so many years and the companies there just need to refresh?
Michael J. Long: I think you just hit both of them. I think the currency and coupled with the fact that they guys have got upgrade datacenters and some of the growth that we are seeing right now I mean we haven’t seen proprietary or industry standard service growth rates that we have seen there for quite some time, that being over 10% and we have seen the services and the software piece come up very nicely, anytime you see virtualization hanging in there at 10% plus tells you that something is going on, but infrastructure software was fitting there at about 22%. So I would say right now we are seeing it across the Board and which tells us that the datacenters are upgrading.
Lou Miscioscia: Last question I know – sort of asked and answered before, but can you comment a little bit more about Arrow’s – you had it now for two years now, it might be growing smaller of a small base but is it growing well above plan, is it starting to get close to being any kind of materiality and then when you look at that sale, does that looks to be cannibalistic, I mean that your hardware numbers sound good this quarter, but is that what’s going to suffer may be a year or two down the road? Thank you.
Michael J. Long: Well I will start out strategically anytime we do something like that we hope it’s cannibalistic because that means we are on the frontend of the market and customers are going to adopt it from us. So that’s why you make those investments. We don’t ever try to hold back where the market is going from going there. We want to make sure we support the market. Sean I will let you talk about some of the changes we made in it that are pretty exciting.
Sean J. Kerins: Yeah, sure Mike. So Lou remember our Arrow – platform has got a strategy it’s just a tool set, it enables the transition to – offerings overtime. But our strategy is really to address the fact that customers want choice and going to keep submissions – and applications on premise, we are going to look to leverage third party cloud offerings when it make sense and we believe overtime certainly in the enterprise the hybrid cloud model is the one that we will prevail. So these investments are all about helping customer migrate down that path and working with the right channel partners to help to get there, but again it’s not something that we see happening overtime – happening over time as I have said before our run rates each quarter continue to improve with – portfolio. 
Michael J. Long: I might add to it, you typically see the very large customer base that is serviced directly by some of our main competitors move faster than you see the mid-market that’s why there is usually a clue for us to where to take the business overtime because once something gains acceptance at those large customers then you know it’s going to happen and once they can be convinced – so price sensitive it take a lot less to convince the mid-market. So we believe we are – we need to be with that right now.
Lou Miscioscia: Okay, thanks guys.
Operator: Thank you. There is no further question. So I will now hand back to Steve for closing remarks. Please go ahead.
Steven J O'Brien: Thank you, Ian. In closing I will review Arrow’s Safe Harbor statements. Some of the comments made on today's call may include forward-looking statements, including statements addressing future financial results. These statements are subject to a number of risks and uncertainties that could cause actual results or facts to differ materially from such statements for a variety of reasons. Detailed information about these risks is included in Arrow's SEC filings. If you have any questions about the information presented today, please feel free to contact me. Thank you for your interest in Arrow Electronics, and have a nice day.